Operator:
Isabelle Kocher: Thank you very much. Good morning, and thank you for being with us today. I'm very pleased to welcome you with Judith Hartmann, our CFO to present our group results for H1 2017. I will start with key messages and a bit on operations. Judith will follow with the financial update on the transformation program and a deep dive into H1. And we finish with the full year 2017 outlook and conclusion. So, today, we are actually very pleased to share with you a solid set of results, in line with our roadmap for our 2016-2018 transformation program. We have reached a 5% EBITDA growth on our key growth engines and our net recurring income is up 15% organic. 18 months ago, engaged the group in what was considered as a challenging and ambitious transformation, in order to reshape ENGIE for growth and for value creation. Today, timing wise, we are half way through this transformation and we are very proud to tell you that we are already very close to achieving our goals. We have delivered faster than expected, our organization is becoming more exile by today. We have already identified 90% of full efficiency program, 85% of our gross CapEx are already done or committed and our disposal program is completed at 73%. Today, we are ready to drive ENGIE on the path of growth. Let's focus now on these results, I am on slide four. All main indicators show organic growth of H1 year-on-year, as you can see year-on-year on organically EBITDA is up plus 4% and core [ph] is up plus 2.5%. The net recurring income is significantly up year-on-year organically namely by plus 15%. This strong growth achieved does not come at the expense of balance sheet control, on the contrary, again of H1, we have managed to further reduce our indebtedness indeed net debt as decreased by $4 billion compared to year-end 2016, reflecting mainly the cash flow from disposals, net debt on EBITDA stands at 2.2 times at the end of June. Overall, we confirm our full year guidance and we target now the midpoint of initial range as H1 results show that we are exactly on track with the - those dynamics announced back in March. The achievement of such results is made possible by the rapid and effective implementation for transformation plan, the objective of our action plan is fourfold, I remind you. First, we focused ENGIE on each three growth engines. Second, act as a pioneer on digital and new energy related technologies enabling us to secure midterm rules and tackle long term growth opportunities, each semester we assess our three-year, five-year, 10-year gross prospects. Third, improve our efficiency. As a business, we are increasingly competitive. And last but definitively not least, we need to adapt and prepare our group to a new growth model faster and more decentralized than before. On all these objectives we are well underway, a few examples, we have changed our incentive policy to further incentivize and encourage managers on growth and value creation. Our efficiency plan is well underway also with the Lean 2018 upgraded target already identified at 90%. And these are so particularly active in the field of innovation; we have launched new offers to increase our growth potential of the time. For example, we have recently acquired EV-Box one of the world leader in EV-charging business with 45,000 charging stations already in service. Finally, and this is something I'd like to insist on the effort made on refocusing ENGIE under three growth engines we elected is well underway as these three growth engines now accounts for 90% of our EBITDA. And these, thanks to a disposal program already completed at close to 75% and thanks to an investment program focused on these three gross engines committed at 85% as of today. We are therefore shaping our group to tackle gross opportunities. Let me remind you what are these three growth engines we have decided to focus on. First, renewables and thermal contracted, second infrastructures and third customer solutions. At on H1, these growth engines accounts for 90% of our EBITDA, the growth potential of these growth engines is confirmed, they enjoy a strong momentum growing by 5.4% year-on-year at end of H1. Even their weights and given the dynamics, the benefit from they enable us now to make it up for those the decline of merchant activities and the dilution from disposals. We have enhanced faster tipping point, as we get the full year outlook, we expect organic growth to remain sustained a group level on these three growth engines, yet with distant dynamics among them in H2. We expect renewables and thermal contracted to continue increasing at roughly the same pace mainly driven by the commissioning of new assets in Latin America. Financial performance of global network should a little bit reverse in H2 driven by the full impact from a lower remuneration rate for French gas transmission, by a 2% decrease for the July, annual tariff review for gas distribution and by your rather - and your French storage starting in April. On the other hand, we expect customer solutions to perform more strongly in H2, benefiting from a reversal expected for B2C segment, because H1 was impacted by several one-off, while the underlying trends remain robust on the back of client gains and improved margins. And also from the first contribution from acquisitions announced in H1 mainly for B2B and for B2C segment. I will now give you a business update on our three growth engines. First one, renewable and thermal contracted, on the operational performance front, we have enjoyed a strong performance in Latin America and in the Middle East driven by new capacities and price effect. Depositors are more than offset - as more than offset adverse hydrological conditions in France. Besides, we also work on our industrial performance in that regard, the Darwin project that develops predictive amendments allowing for better efficiency as significantly progressed with 2.4 gigawatt of wind farms and solar plants now connected and we target 7.5 gigawatt by 2019. The medium-term growth of this business line secured by strong pipe of project at every stage of development. Renewable wise, we have commissioned and quote level roughly 340 megawatt capacities in H1, we expect more to come about the course of the year. We have now closed to 700 megawatts of solar capacity under construction mainly in France, in Latin America and in India, as we got winds, we have 600 megawatts under construction. Then we have one solar project for more than 400 megawatts in France and in India. Finally, we have announced earlier this year, the acquisition of 100% of subsidiary that company given in France. This move enables us to strengthen our position in French wind and solar market. Recently also in that [ph], we have entered the Chinese solar market by acquiring a minority stake in Unison, which is a photovoltaic power plant developer. Following these commercial success, we enjoyed a strong medium-term pipeline of renewable project, which also includes solar CSP and wind offshore two technologies that we will have to our - in this travel expenses. This is for renewables. On gas-fired generation, we have commissioned around 400 megawatts in H1 in the United Arab Emirates and we have also two plants for a total of 2.8 gigawatts under construction in the Middle East. Second, ENGIE infrastructure. In H1, we have a joint strong performance on our gas infrastructures mainly driven by tariff increases both in France and outside of France. Indeed, it is worth reminding that we have sizable positions in Romania, in Thailand and in Latin America. Let me give you an update on this regulatory environment, in France we have now visibility under 2020 on all activities currently regulated. We have resumed discussions on a potential regulation of the storage business as we observed that market participants are not respecting rules in place and then during the security of supply of the country. In Latin America, we have just successfully concluded a round of tariff reviews in Mexico and in Argentina. Finally, tariff review is scheduled for next year on our already sizable gas distribution business in Romania. We have closed the acquisition of LNG that is to say the LNG terminals in France by GRTgaz, this planned acquisition we already mentioned response to the challenges of European gas infrastructure and to the needs of market players. We continue investing in our regulated infrastructures in France and also outside of France notably in Romania in the U.S. and in Latin America. Third, ENGIE, now our customer solutions. Let me start with our B2C business first, as we got H1 performance some negative one-off overshadowed very good underlying performance notably from services, we have increased our client base in French power by 340,000 over the last six months, hence getting closer to the 10% market share mark. We also continue to actively differ our market share in gas with a very limited decrease regarded year-to-date. All-in-all, we are therefore growing our French customer base. And as explained, end of June at the investor workshop, we have been very active with new innovative offers that will help us to continue developing our portfolio of clients. The B2B business now, H1 performance as many of you did from the restructuring of energy supply business as well as from better margin at our services business. As we've got medium-term rules, our backlog of installation project in France has increased by 4% year-on-year now totaling €4 billion. We have also signed multiple new contracts in various areas such as decentralized generation, installation multi-technical maintenance. We are also very active on our product offering for example Keepmoat, the acquisition we made in the UK adds a new complementary activity to offer to our clients in the segment of building regeneration. In B2C finally the activities let's say, business for territories, the activity continues to enjoy a strong momentum both on our historical businesses that is to say this tech [indiscernible] and decentralized energy and also a new market cities green mobility with new references. We have enjoyed a strong commercial dynamic with numerous [ph] contract one over the last few months, such as for example a 50-year concession contract with the Ohio State University in the USA with $1 billion investment program. As you know we acquired 40% of Tabreed, Tabreed is number one of district cooling in the Middle East and in doing that, we have become a worldwide leader in district cooling, adding to strong positions in Europe that is to say in Paris, London, Barcelona, Lisbon and also in Malaysia. This acquisition will add a very strong portfolio for us in the Middle East. The region where we didn't have much of a presence in this activity. So, I just gave an update on these growth engines that will contribute to our future growth, a few words now on our merchant activities. Because we still have merchant exposure, yet these Merchant activities accounts now for 10% of our EBITDA. The performance in H1 has been significantly impacted by lower achieved prices on our high-power volumes and this is in line with our expectations. For H2, all our nuclear plants are now up and running. On the regulatory front and market environment, we see potential upside from the new carbon pricing mechanism and the adoption of more capacity remuneration schemes. Yet we manage this business based on current conditions. Our aim is to continue to optimize as much as possible these assets. And what our teams have done on our thermal generation fleet is quite impressive. And hence today we have a cash flow positive fleet ready to capture the value embedded in the volatility of the market. So, here for the business update, I now handover to Judith, who will focus on the transformation plan key metrics. Judith.
Judith Hartmann: Thank you, Isabelle, and good morning, everyone. I will focus on three topics today and the status of the transformation plan, the first half results and the outlook for 2017. Let's start with the transformation plan and which keeps progressing at a very sustained rhythm. As Isabelle mentioned, we have made significant progress in the first half of 2017, and we continued to be ahead of schedule on all fronts, on investments, on disposals and on Lean 2018. Let me just focus on recent developments. In the first half of 2017, we have continued to make investments to generate future growth. On cumulative basis since early 2016, we have invested €6.4 billion in growth CapEx. This is almost 50% of our total CapEx envelope over the three years, which is €14 billion excluding E&P CapEx. As you know, we have dedicated around €2 billion of our total envelop to small tuck-in acquisitions. To-date, we have committed roughly 65% to 70%, €1.3 billion of that envelope of which, €700 million is already invested. The development pipeline remains very strong and we have €5.4 billion already committed on additional projects. Each project fits our investment criteria including many renewable and downstream projects. The total around 85% of our growth CapEx envelope is committed or identified as if today. On portfolio rotation, at the end of H1, we have reached 73% of the objectives, which is €11 billion of disposals either closed or announced. We continue to make progress on Lean 2018 based on our revised target of €1.2 billion by 2018. We have already identified 90% of the actions and achieved approximately 60%. Let's look at our first half investments now. So far, we have invested around €6.4 billion of which €3.7 billion in 2016 and €2.7 billion in H1. Around 40% of the H1 growth CapEx were invested in customer solutions, 40% in low CO2 power generation, and 20% in global networks. This reflects the increasing acquisition momentum in downstream. In H1, we have indeed, €1.6 billion of financial CapEx coming from the acquisitions in customer solutions namely Keepmoat, EV Box and Icomera. But also including the minority buyout of other company [ph], the capital increase of sales and the Nord Stream 2 projects. Our development CapEx mainly relate to renewable projects notably solar projects in India, France and Brazil, and wind projects in Brazil and France. Cash infrastructures in France notably Value Stone, the North South Interconnection project. And to customer solution, activities in France where we have invested in biomass and cooling and heating network projects, but also in North America and in Australia. The value creation is clear as you know we expect no projects to contribute €1.1 billion to the core based on the full year contributions, so more growth. This is of course, for the total CapEx program. Let's move to the portfolio rotation program. To-date, we have already announced €11 billion of disposals that is 73% of the total programs. So clearly, we continue to be very well advanced on our three-year program. We closed in 2016 around €4.2 billion of disposals and almost the same amount so far in 2017, in other words €3.9 billion. In Q1, we had closed the sale of our merchant assets in the U.S. and our coal assets in Poland. In Q2 specifically, we sold our 10% interest in Petronet in India, this was a non-consolidated participation that not contribute to the EBITDA but this disposal has generated a financial debt impact of more than €400 million positive. As of today, we have signed close to €3 billion of additional disposals for which closing is in progress. In particular, we reached a very significant step in the second quarter with the announcement mid-May of the sale of our 70% interest in E&P, the Neptune Energy for a financial net debt impact at closing of €2.4 billion and an EV of €4.7 billion at a 100% and including provisions we expect closing in Q1 of next year. We have launched a process to sell our second coal plant in Australia called Loy Yang B and our subsidiary in Brazil has announced the process to sell two coal assets namely Pampa Sul and Jorge Lacerda. For the rest, we have enough optionalities in our portfolio to be able to achieve the €15 billion target by end of 2018. On disposals already booked and signed, the dilution impact is very limited at the level of the bottom line with roughly €250 million full year impact at net recurring results group share level. And for the total €15 billion program I remind you that we expect the total dilution of roughly €300 million at the net recurring income level. Now an update on Lean 2018. As a reminder, we have exceeded our target by 6% in 2016. This led us to increase overall program size by 20% with €1.2 billion of net savings now targeted at the EBITDA level. In the first half, we have continued to make good progress on Lean with €180 million net achieved at the EBITDA level. Hence, we are now at €710 million achieved on accumulated basis since January 2016.This is around 60% of the overall program. By the end of this year we target to be around €850 million. We are well on track to achieve this target. The contributions in H1 came from operational efficiency for 70% and from G&A for 30%. This part of Lean, we are undertaking a reorganization of our headquarters and we are restructuring some loss-making activities. Our efforts are bearing the fruits this year already. Please note that our initial target of 1.2 billion by year-end 2018 included some contributions from E&P obviously with the sale of E&P this will go away, but as mentioned from the start, we will aim to compensate this contribution to other means and keep the target at €1.2 billion. In the gains achieved in 2016, E&P accounted for around 10% or €50 million. I would like to give you some examples of recent actions, which contribute to Lean 2018. In Benelux services, restructuring of some loss-making entities. A number of personnel cost optimization programs through early retirements reinforced in total [ph] mobility and voluntary departure plans in several business units in the headquarters. Insurance savings in LatAm, a significant effort at E&C, the unit selling, electricity and gas to businesses in France, whose benefit can already be seen in the first half. The breakdown of savings by intensity of savings in reportable segments is provided on the left. And just roughly constant through time and similar to the breakdown shown for full year 2016. On the next slide, you can see that, even if at first site, our OpEx base remains stable year-over-year. It is in fact, coming from two opposite effect. A decrease of around 3%, thanks to the lean efforts. In particular, we see 3% SG&A decrease versus last year, reflecting accelerating efforts on structural cost across the group. Lean 2018 gains for instant are 50% more important in H1 of 2017 versus H1 of 2016. And then we can also see an increase notably in services activity, which reflects underlying growth of course of this activity. So, to summarize, the teams are highly engaged on executing our transformation. The plan is progressing quickly and after 18 months, we continue to be well ahead of schedule on every front. We will obviously continue to update you every quarter on further progress. Let's now move to the first half results. To start with a few words on the accounting treatment of the disposal of E&P, according to IFRS rules announcement of the disposal on May 11 triggers the classification of our E&P business as discontinued operations. This is a different accounting treatment than the one which prevailed in 2016 for example for the U.S. asset disposal. This is due to the fact that E&P is a major line of business. The impacts on the P&L and the cash flow statements are retracted from January 1, except for D&A. We have restated our 2016 figures on this basis, in order to compare apples-to-apples. If seen that we have published our restated 2016 figures, H1 and total year 10 days ago. In a nutshell, the classification of E&P as discontinued operations results in the following accounting impact. E&P contribution is no longer shown in the different P&L lines of the P&L and cash flow statements, but instead shown separately into one single line labeled as discontinued operations. To take an example for the P&L, we are now showing the net recurring income group share from continued operations separately. In addition, as from the signing date, E&P and D&A are no longer booked, meaning that the net income from discontinued operations were benefit from the absence of D&A for 7.5 months, but this were mainly materialized in the second half of course as signing occurred on May 11. When talking about the full year outlook for 2017. I will show you what the impact of this accounting treatment are in our net recurring income guidance and on the year-on-year EBITDA bridge. Let's now look at the year-on-year evolution of EBITDA over the first semester of 2017. EBITDA at €5 billion is in line with the trajectory expected for the full year, despite a negative volume impact during the first semester and the Scope impact from disposals. Year-on-year, EBITDA is flat on a gross basis as you can see and is up 4% organically when excluding the impact of foreign exchange, Scope and the new treatment of the nuclear tax. As you know as shown 2017, the nuclear tax is booked at the EBITDA level, it amounted to negative €71 million in the first half, which represents a slight increase year-on-year of €14 million. The positive FX impact of around €90 million mainly comes from the Brazilian riyal and to a less extent from the U.S. dollar. The negative Scope impact of around €200 million comes mainly from the sale of the merchant assets in the U.S. as well as tightened in Indonesia. Now let's have a look at the organic drivers of EBITDA. The price impact is up by around €220 million year-on-year. We saw a significant positive impact from the European thermal power fleet as we benefited with respect to volumes of H1 2017 from the pickup in spreads at the end of last year. We also have positive price impact coming from our international power generation assets mainly in Australia and Brazil. Finally, gas infrastructures in France benefited from the annual tariff indexations that took place last year. This positive price impact just mentioned we're offset by lower achieved prices on outright production mainly nuclear and by a lower result on the midstream gas activity. Indeed, on midstream the year-on-year comparison is unfavorable due to negative price impacts in gas supply difficulties in the south of France in January during the cold snap [ph] and this was only partially compensated by a recent price revision of an LNG supply contract. Volumes are down by €275 million mainly due to lower outright volumes. Clearly nuclear in Belgium, hydro in France and a slightly negative weather impact year-over-year, partially compensated by the commissioning of new assets. The lower nuclear volumes come from the outage of Tihange 1, which was offline for most of the first semester as it restarted on May 20th. Renewable output in France mainly hydro has been significantly down over the first semester minus 34% year-over-year. Temperatures in France have been slightly colder than average in H1 this year, but less cold than in the first half of last year hence a slight negative comparison of roughly €68 million year-on-year. Commissioning of new assets delivered a contribution in line with our expectations. Lean 2018 contribution was closed to €200 million in the first half of 2017; we expect a slightly stronger contribution over the remaining quarters as the program was only upgraded early this year. The block others amount roughly €100 million in line with the full year indication. At the bottom of the slide, you can see the organic EBITDA variations by reported the segment, I will go quickly through the main variations. The EBITDA of the segment Latin America is up year-on-year thanks to the commissioning of new assets in Mexico and Peru and thanks to positive price in tariff affect in the Latin and Brazil business units. The Africa and Asia segment EBITDA benefited mainly from the good performance of our Australian assets given the higher power prices and from the successful closing of a contract for the Fadhili power plant in Saudi Arabia. The Benelux segment was impacted by the outage of the Tihange 1 nuclear unit in Belgium until the end of May and by the lower hedge prices on nuclear power sales compared to the first half of last year. EBITDA of the segment France is down year-on-year due to the combination of former temperatures, lower renewable production mainly hydro, I mentioned it and lower volumes and margins on B2C gas sales which have only been partially compensated, a higher volume on B2C power sales and good performance of network activities. Within the segment other EBITDA has been driven by the very good performance of thermal generation assets in Europe and also benefited from the better performance of the power sales activity to B2B clients in France. I remind you that this activity has been reported under segment other since January it was previously reported under segment France. Finally, and to sum up, EBITDA growth is driven by the good performance of our three growth engines as detailed on top of the slide. H1 continue to be impacted by a negative volume effect some of which we expect to reverse in the second half, but overall it is in line with the full year trajectory. Now let's look at the net income and cash flow. Net recurring income first. The net recurring income group share is up 15.5% year-on-year organically when excluding the Scope and ForEx effects. As you can see we have highlighted on each side of the bridge the contribution from E&P in the gray shaded area, when you exclude E&P now reported this discontinued and focus on continued operations only, a net recurring income group share is up close to 13% organically mainly coming from higher EBITDA organic growth and improved financial results mainly reflecting the lower cost of debt. But higher D&A charges resulting from the upward revision in H2 last year of dismantling obligations for our nuclear assets in Belgium. Let's now look at the bridge between net recurring income and net income. The net income group share at close to €1.3 billion is lower than the net recurring income group share by around €250 million. This results from the combined impact of on the one hand a negative effect from mark-to-market financial instruments and from restructuring cost and on the other hand a positive impact from parametric changes mainly related to the sale of our thermal merchant portfolio in the United States. The mark-to-market impact of close to €800 million comes mainly from the negative price impact linked to the variation over the first half of forward prices of underlying commodities. This has been partially compensated by a net positive effect from the unwinding during the semester of derivative instruments which had a negative market value at the end of 2016. Impairments has been non-significant in the first semester. The next slide shows the bridge between EBITDA and cash flow from operations. The CFFO amount to €3.5 billion in H1 down €1.1 billion compared to the first half of last year. This evolution reflects the solid operational cash flow generation but penalized by higher restructuring charges by the settlement of litigations and by lower working capital variation mainly related to changes in gas inventories in France given warmer temperatures this semester compared to last year. Looking at the cash equation on the right-hand side, as you can see it is in surplus by around €1.9 billion despite the payment of the final 2016 dividend in Q2. As you can see net CapEx were slightly negative, given the disposal proceeds cashed in during the semester mainly from the U.S. portfolio. The next slide is our usual slide on the balance sheet and financial structure. We benefited again from a sound cash generation in H1 of €3.5 billion despite some non-recurring effect previously mentioned and from the positive impact of the portfolio rotation program with significant cash in this semester from the U.S. transaction booked in February for an amount of €3 billion. The Poland transaction at the end of March of €200 million and Petronet in June of €400 million. At €22.7 billion at the end of June 2017, net debt therefore continues to decrease compared to the end of 2016. Adjusted for E&P into company debt, net debt stands at 20.9 billion as a reminder it was €24.8 billion at the end of 2016. Net debt-to-EBITDA stands at 2.2 times at the end of June, improving versus the end of last year and is significantly below the 2.5 limit that we had set. The cost of debt has continued to decrease as well and today stands at 2.65% this reflects the favorable market environment of course with low interest rates but not only it also illustrates our continued liability management initiatives the optimization of our financing operations and our credit strength. As a reminder, S&P and Moody's have recently confirmed our credit ratings. Let's now move to the 2017 outlook. As mentioned earlier, we confirm our initial 2017 guidance on the net recurring income of group share. I would like to show how the IFRS five treatment and the accounting of E&P as discontinued operations impact our full year EBITDA bridge and the net recurring income group share. On March 2nd at the full year results presentation, we presented a full year bridge on EBITDA, which included E&P. On this slide, you can see the full year EBITDA bridge year-on-year adjusted mechanically for the sale of E&P. When we presented this bridge initially we assume 12 month of EBITDA contribution from E&P in 2017. Now that the E&P deal has been signed, the IFRS 5 treatment means that we no longer consolidate the E&P contribution at the EBITDA level as from January this year. The EBITDA 2016 has been restated accordingly as well as all the blocks of the bridge. Most of the blocks within the bridge rounded to the decimal remain unchanged following the exclusion of E&P, the only block that has changed is the block price, for which we now expect a slightly negative impact year-on-year, as previously we had an assumed a slight upside on E&P oil prices. The adjusted EBITDA range for 2017 becomes €9.3 billion to €9.9 billion. initially, the range was €10.7 billion to €11.3 billion and we had indicated that we had expected E&P EBITDA in 2017 to be around €1.4 billion. So, as you can see, this is just a mechanical adjustment to our initial EBITDA indication range. I'll remind you that the scope impact relates to the disposal that have been announced until March 2nd mainly the U.S. assets and to take patent in Indonesia. At the bottom of the slide, you can the upward view at the end of June on each of the updated view at the end of June on each of the blocks with some upsides and downsides compared to the initial bridge. But overall, the indicated EBITDA range remains the same at €9.3 billion to €9.9 billion. The last slide for my part is on the full year guidance. As already mentioned, we confirmed our initial guidance on the net recurring income group share of €2.4 billion to €2.6 billion and now target the midpoint of that range. Please note that this range includes a contribution of €100 million from E&P comparable to what we had initially baked in. And the guidance is closed early March. This is the operation contribution of E&P. In other words, we exclude from our range of guidance the D&A windfall effect resulting from the IFRS 5 treatment of E&P. We now halfway through the year and with more visibility towards year end. We are in a position to target the midpoint of the initial guidance range. Considering the midpoint of 2017 of the 2017 range, Organic growth is expected at close to 14%, which is of course significant and very positive. I will now hand over to Isabelle for her conclusion.
Isabelle Kocher: Thank you, Judith. To conclude rapidly, ENGIE is evolving quicker than planned in a challenging environment. And with our new redesigned portfolio, we are back to organic growth and we are preparing the powerful growth engines of tomorrow. I like to warmly thank our teams for their dedication to make our transformation happen. The solid performance is no doubt the result of their expertise, but more importantly, it is the result of their commitment to progress on our value creation journey. It also shows that I believe our teams believe the ENGIE has a key role to play in the global energy transition. Thank you for your attention. And we are now ready to take your questions.
Operator: [Operator Instructions] We'll now take our first question from Michel Debs from Citi. Please go ahead. Your line is open.
Michel Debs: Yes, good morning, ladies and gentlemen. I have two questions please. The first one, I will just pick up where you left, you have showed us on the very last slide, that your net income for 2017 would grow compared to 2016 on a comparable basis with scoping effect. So, can we think the same thing about the 2018. can you confirm today that in 2018 we can expect continued growth at the earnings level. And my second question regarding [indiscernible] you have in the past said that you were open to selling possibly a stake in [indiscernible] as part of your disposal program. You've done great progress on the disposal programs, but there is not so much room left on that list. Is [indiscernible] is something you would consider selling a stake in or do you have other assets in mind? Thank you very much.
Isabelle Kocher: Thank you. So, on your first question, you have recognized that we are a little bit early to speak about 2018. Nevertheless, just I like to go by what I said, you have seen the dynamics, you have seen that the growth engines is now accounts for 90% of EBITDA basis. You know that you have seen that we have growth dynamic which is extremely good. And then as I said, we passed the tipping out. But of course, we will go back to that point on the next semester. On [indiscernible] so that's a point I already mentioned several times, yes, it is a still something we look at how to rebuild and [indiscernible] something which is stronger in order to redesign company, which is vision based one and potentially with local partners.
Michel Debs: Thank you very much.
Operator: Our next question from the phone comes from Vincent Ayral from JP Morgan. Please go ahead. Your line is open.
Vincent Ayral: Good morning. A couple of questions which are related somehow to the authorities I would say, so we will start first with the carbon tax in France, we saw Mr. Euler [ph] talking about carbon tax increasing to €100 per ton, it doesn't seem to be related to generation at all but the Energy Minister says that this carbon tax would improve the profitability of renewables, so he gets all of us confused here. I like to get your views on what you potentially would expect from Macron's government to regarding and carbon taxation in generation in France. Second question will be related to the regulated tariffs, we had at the end of the regulated gas tariffs decided about the State Council and now this could potentially be extended to the electricity tariffs so that something and that NGS talked in favor of and yes this becomes will say that the electricity is a first necessity commodity, so what is your view on this specific -. And finally, the current government is looking for some money and therefore the budget, then we remove about govern placing, I doubt you can comment on that but could you at least tell us if legally speaking there is some room for the government to potentially do something on the reducing this stake in ENGIE. Thank you very much.
Isabelle Kocher: Thank you for these questions. So just a few elements to the way we - on the way we understand this environment. As you can of course see, it's not under our control in the three years, these three elements all the three scenes you mentioned. So, carbon tax first, you're right the statements made by the new government is extremely encouraging even if not clear the way it will be implemented, so you are right, so with this discussion we have also and we are not the only player of course. More generally I'd like to tell you that what I see everywhere in the world is that these futures huge schemes they are more and more the top of the priorities of the government that's true also in Europe, so it's encouraging. But nevertheless, I told you we don't count on that. We need to manage our fleet exactly in the current market conditions. So, more elements probably although the next On the regulated gas tariffs, the decision made by the state council is a very important one probably it will lead to the end, the positive end of this regulated scheme in the years to come, so a transition period organized. We started discussing that with the French authorities. What is extremely important is exactly what you mentioned that is to say that it has to be done in parallel for power regulated crisis and then it mean for ENGIE effectively a room for a lot of opportunities. You have seen that we are - done in making now the power development particular in France and then of course the end of the regulated tariffs that would up and for us another year to develop our offers. Then there is - gain to be the concrete conditions that you said based with in particular still to be distressed and stated by low probably. Regarding now the France state, so effectively there is a room for maneuver for the French states. Even in the current legal situation, I cannot say more just one point, which is that we already mentioned that for us it would be positive because it will lead to an increase of the free float on our stake and it is, I believe a very good way to accompany our transformation.
Vincent Ayral: Thank you.
Operator: Our next question comes from Peter Bisztyga from Bank of America Merrill Lynch. Please go ahead, your line is open.
Peter Bisztyga: Yeah. Good morning, it's Peter Bisztyga from Bank of America Merrill Lynch. Sort of question about the Tabreed acquisition, looking sort of consensus estimates it feels like you've sort of paid a sort of low to mid-teens EV, but almost pulling some close to 20 times PE multiple for that business, which I think is a bit higher than you've indicated on acquisitions today. So, I was just wondering if you can curb with those multiples first of all and also, if you could give us a little bit of justification as to why you think it deserves that kind of price?
Judith Hartmann: Yeah. I can take that one. So Tabreed for us is a very strategic acquisition, I would say, it makes us a global leader of district cooling and this is obviously very much in line with our strategy. It is in a region that we know extremely well as you know we have closed to 30 gigawatts installed in the Middle East and it really one of our traditional strong holds and so we're very comfortable working in that area. When it comes to the multiples that you have mentioned, they are indeed in the - on the mid-teens when it comes to PE. You have to assume though that we are in the testing growth, this is clearly a growth company that we've just bought here. It has had CAGRs in the order of 4% of EBITDA in the last few years and 10% of net income and obviously if we bought this company and combine it with our current portfolio we are very confident that we'll have synergies not just on the cost, but much more importantly on when it comes to growth. So, it is a very good acquisition for us.
Peter Bisztyga: Thank you.
Operator: Our next question comes from Vincent Gilles from Credit Suisse. Please go ahead. Your line is open.
Vincent Gilles: Yes. Good morning, everyone. Two questions please. The first one is on organic growth and is it possible and I don't expect you to have a very precise number, but is it possible for you to help us split in the organic growth reported today, what is coming from assets that for example we're not in the portfolio one or two years ago, as that has just started in the last 12 months being in operation versus what has been historically in the group, obviously well I'm trying to go to is the impact of the transformation of new CapEx? And the second question is on cash flow page 23, slide 23, you allude to is going to further strengthen in H2 the cash flow generation maybe you can help us understand a bit what would change in H2, it's not on the slide but also working capital in the second half of the year would be a great help? Thank you very much.
Judith Hartmann: Okay. So, your first question on organic growth, it's - it's hard to split it exactly, but what I would say is of course there is a ramp up of everything that we've just described, the investments that we continuously talk about, there was always on ramp up that come with it. So, you can assume that that we're going to add additional growth every year. But if you say what comes from a year ago quite frankly, obviously there isn't that much in it except for the ones that had - where we had acquisitions, and for that I would say when you look at the tuck-in acquisitions, we just announced or just closed such as Keepmoat and Tabreed. Keepmoat will only have a few months this year and Tabreed almost nothing and you're going to see the bulk of it next year, so that will be on the first question on cash flow. Your question was on the second half, it is really that if one of the main effects that we saw in the first half was that impacted us was on inventory fluctuation mostly in France a little bit in Italy and the UK. France and Italy related to gas where basically given that it was cold but not quite as cold as last year, we had higher inventory then the year before about €300 million, France about a €100 million in Italy. So, we had a positive impact last year also of about close to €100 million in the UK where we have sold off the coal inventory leading up to the route disposal. And so, those are all main effects. And so, it's really the gas piece that you would see reverse. And then we have some unusuals in the first half of, on litigations, we had talked about that were in the P&L already of last year such as the [indiscernible], the competition authority in France where we had provisions for last year but paid then on this year. So overall, we expect the good cash results for the complete year.
Vincent Gilles: Thank you very much.
Operator: [Operator Instructions]. Our next question comes from line Carolina Dores from Morgan Stanley. Please go ahead. Your line is open.
Carolina Dores: Hi, good morning, everyone. Thanks for taking my questions. I have three, first one, I just wanted to have a few of whether you see power prices going in Central Europe? Because you have hedging the average price of your hedging has come down in 2018 by €1. And you also presenting hedging for 2019 at an average price of €32. So, should we read it as we don't expect any recover yon power prices. Second question, I was interested on LatAm, because I think you have some recognition of PPA cancellation penalty in Peru. Some insurance collection in Chile, but you also know that that in both countries there is a decrease in demand. So why would should we expect for LatAm growth for the second half. And also, how much were these improvements in EBITDA? Third question if you could talk a bit about the LNG business in 2016, there was a positive settlement from an LNG and gas. Can you just confirm that there wasn't one in 2017 for the first half? And if you still expect one for the full year. Thank you very much.
Unidentified Company Representative: So, thank you for your question. I will ask Pierre Chareyre, Pierre Chareyre is member of executive committee and in-charge of LNG business in particular to take your third question. And then I will ask Judith to answer to the two first ones. Pierre.
Pierre Chareyre: Yes. So, on the LNG business, I mean we have - we are concerned that the trends we have seen I would say on the long-term side there will be more LNG coming on to the market. And so there will I think more volumes have being traded, hence more liquidity. And therefore, there won't be much geographical spreads between Europe and the Far East, this is for the long-term. As far as our results are concerned, I have said in March that we were targeting a breakeven situation for the LNG activities and that's what we have achieved so far, this year. And that's still our target for the end of the year.
Judith Hartmann: Okay. And then your question on power prices in Central Europe. So, we had - there is a page I think in the appendix where you can see our view there. There is of course a high hedging ratio already for 2017-2018 of 94%, 83% and then in 2019 of 45%. The prices that we're seeing, achieved prices are 37, 33, 32 for 2017, 2018 and 2019. And we have a view that there is going to be a growth in this higher price going forward, so that's a view there. On your question on Latin America, I think you were referring to the fee of €25 million that impacted us on last summer [ph]. However, I would say on a general note that we see a very positive organic growth in Latin America of 14% in the first half. Clearly, when I look at the outlook, Latin America will continue to benefit from the tariff increases in Mexico and Argentina that we mentioned. As examples of first half performance and there is also an aspect of Brazil where there is a lower GSF expected in second half, but in general we do believe there is going to be continued growth.
Operator: There are no further questions from the phone.
Pierre Chareyre: So, we have got a question from the web from S&P. Part of this threat of U.S. sanctions impact to investments in Nord Stream 2? Okay so, effectively as you know there is effect if sanction which has to be to pass through the both the Senate and the House of Representative and has to be endorsed by the President within 10 days and if that happens ENGIE is concerned by which investment in Nord Stream 2, as the other four western interested parties which account a number of major European companies like Shell and DASF. What is our position, we have in fact committed to ship out 10% of the total project cost, but I would like to say that this sanction low is not refractive and so only future funding transfer would trigger the risk of international sanction? So, our existing exposure to this project is not at risk and our current legal view is that if sanctions were effectively applicable to the project than we could apply those stop and not continue to sign this project in order to not be subject to any sanction whatsoever. But we are not in that situation yet and as you know [indiscernible] is being pursued very actively by ENGIE and other European companies. And also by the European Union, and you have probably noticed the declaration from Mr. Juncker on the 26th of July who has opposed vigorously this potential sanction from the U.S. administration. We have a question from Axon [ph]. You have done good progress in cost cutting, there is still 18 months to go. What is the scope for more savings either in 2017, 2018 or beyond 2018?
Judith Hartmann: So, that's a very good question, it's still - we feel very confident on the €1.2 billion you heard it from what Isabelle and I were saying. However, it is also very big effort, and so we're going to continue to work on this. I would say - I would split it into several items operationally, it is of course a lot about our purchasing efforts, but also restructuring loss making units or even restructuring commercial deals that are not at the right level of profitability. On SG&A we have had a huge effort going in - as I always say, this isn't just about the cost, it's also about the simplification of the company about making us more agile about driving the internal transformation. And when you ask the question of 2018 and beyond, of course we're going to continue to look at our cost basis. As I have said in the past, this effort is also around aligning our cost structure with strategy and by definition there is always going to be improvement areas to be made, to be looked at it, it's obviously way too early to quantify what that would be, but we will continue to look at this I think that the teams are highly engaged, huge effort going on by all the teams and so I am very confident, we can execute on what we committed. And then we are going to continue to look at this for the future.
Pierre Chareyre: We've got a question from Angelis [ph] from Goldman Sachs. Yesterday, CEO has illustrated, we are a service company. As you focus on services would an integration would start to make sense strategically wise?
Isabelle Kocher: Well, that's not a new question. And we get it at each moment where we present all we can't. And mind so I won't surprise you, we are very happy with the current stake, we have stressed [ph] with no project. We continue to reinforce our industrial corporation. And I'm happy to tell you that we have now common subsidiary specialized in biogas. And with the strong commercial dynamic and I believe that's typically the kind of thing we can do with it. And we will continue to up in the field for example, we believe that to work on this centralized desalination plants connected, linked with solar power production, decentralized way is also something which is potentially promising.
Pierre Chareyre: And we've got a last question from Santander, Oscar Navara [ph]. You mentioned that customer solutions would have a strong growth in H2. What is roughly the level you're expecting?
Isabelle Kocher: Well, I won't be very specific. Just to give you a global flavor, as I told you earlier in the presentation, we expect something which is even more dynamic in H2 compared to H1. Because we will continue to see a very strong development in B2B and B2C and we'll see recovery in B2C so global is picking you'll see an increase of the pace of the growth in our customer solutions. And thank you to have this question, because as you've seen it is significant part of our work in the future. I'm sorry, please go ahead.
Operator: Sorry, there are no further questions.
Isabelle Kocher: Have a good vacation for those who will take one. Thank you for your attention during this presentation.